Ken Posner: Good morning and welcome to Mr. Cooper Group's third quarter earnings call. My name is Ken Posner and I'm SVP of Strategic Planning and Investor Relations. With me today are Jay Bray, Chairman and CEO; Chris Marshall, Vice Chairman, President and CFO; and Jaime Gow, Deputy CFO. A couple of quick reminders, first, this call is being recorded and second, you can find the slides on our Investor Relations webpage at investors.mrcoopergroup.com. During the call, we may refer to non-GAAP measures, which are reconciled to GAAP results in the appendix to the slide deck. Also, we may make forward-looking statements, which you should understand could be affected by risk factors that we've identified in our 10-K and other SEC filings. We are not undertaking any commitment to update these statements if conditions change. I'll now turn the call over to Jay.
Jay Bray: Thanks, Ken. Good morning everyone and welcome to our call. Let's start on Slide 3 with the highlights. I'm very pleased to report that during the third quarter, we earned net income of 299 million, which translates into $3.29 per share. These results included very strong pre-tax operating income of 263 million and a positive mark-to-market on our MSR portfolio. Return on tangible equity was 25.2%, which marks the 10th quarter in a row in which we've exceeded our 12% target. Thanks to strong income, tangible book value per share increase to $41.56 per share, which is up 73% from a year ago. And as you know, we repurchased a large block of stock. But even so, our capital ratios increased during the quarter and our liquidity was excellent with over 730 million in unrestricted cash at quarter end. I was very happy with our operational performance. Originations generated nearly 20 billion in funded volume and produced 273 million in pre-tax operating income, which was above the guidance range we provided last quarter. Servicing generated pre-tax operating income of 44 million, thanks to EBO revenues of 131 million, right in line with our expectations. The portfolio grew 2% to 668 billion, which was slower than last quarter. But more than anything else, this was a timing issue, as we owe 32 billion in acquisitions scheduled to close after quarter end. We continue to project the portfolio growing by at least 10% this year. If you'll turn to Slide 4, let me share some recent news about the company. You've heard me say it before, but I truly believe in a simple philosophy. Happy team members lead to happy customers, which is great for business. For the third year in a row, Mr. Cooper has been certified as a great place to work. This certification is based on a third party survey in which we continue to see a near 90% response rate and nearly 90% of our team members stating that Mr. Cooper is a great place for them to work. These statistics places close to the top 100 companies worldwide. I'm also pleased that we were recognized by Google for our proprietary document reading technology, which is cloud based and leverages machine learning and which is significantly more accurate and versatile than traditional data extraction methods. Right now, we're using this technology to onboard and classify the millions of documents that we're picking up with our acquisitions. And we're studying other places to use it to drive efficiencies. We are also in discussions to license this technology to third party mortgage companies. Now let's turn to Slide 5 and talk about strategy. As you know, we've been on a path to rationalize and simplify the Mr. Cooper business model. And as you recall, in the second quarter we sold our Title365 business to Blend Labs for 500 million. Next we announced the sale of our reverse portfolio. Then we sold two other business units in Xome Valuations in August and Field Services in October. These were profitable and well managed businesses. So in one regard, we were sorry to see them go. But we made these decisions in order to focus on the growth opportunities in our core mortgage business, which we believe are substantial. The sales also generated cash and book value gains that strengthened the balance sheet. Now, let's talk about where we're taking this franchise. As we build towards our overarching strategic goal of 1 trillion in UPB, which is a level of scale that we believe only a small number of firms will ever reach. In connection with this strategic target, our commitment to attractive returns and a super strong balance sheet are non-negotiable. We expect to generate returns on equity in most environments between 12% and 20%. And we will operate with a capital ratio measured as tangible net worth to asset of at least 15%. Additionally, Mr. Cooper will continue to be a very people oriented place. Delighting customers and team members remain strategic imperatives. Let me share with you another strategic target. Our refinance recapture rate of 60%. This target will require continuous improvements in customer delight and digitization, but consider how profitable we will be as a 1 trillion servicer with such a high level of customer retention. Now, let's talk about the short-term because we're at a transition point in the industry where excess capacity is driving very intense pricing pressure. In this environment, we're going to need to stay very nimble and keep our resources properly aligned with market opportunities. And as we look ahead to fourth quarter and 2022, efficiency is going to be a key thing for us. And now I'll turn it over to Chris.
Chris Marshall: Thanks, Jay and good morning, everyone. I'm going to start on Page 6 with a high level summary of our results. To recap, net income was 299 million, or $3.29 per share. A very strong pre-tax operating income of 263 million, which was equivalent to an ROTCE at 25%. Originations generated 273 million in operating EBT. However, I point out that the FHFAs decision to remove the adverse market fee added about $20 million to our revenue. Our servicing business produced results right in line with our expectations with lower EBO revenues of 131 million. And in terms of Xome, it's still premature to look for revenues from the auction exchange. However, we're starting to see a pickup in inventory as clients resume allocating foreclosures to our platform, which is a very good sign for 2022. You'll notice that we're no longer presenting Xome as a separate segment and now including its contribution in the corporate segment. We made this change to simplify our financial since the only business left in Xome is now the auction exchange. We had a total of a $1 million in other adjustments, which included a $7 million gain related to the sale evaluations offset by $4 million in trailing transaction costs related to the Title365 sale and $2 million in severance. As a reminder, you'll see a GAAP tax provision of $100 million in our income statement. But as you know from our sizable DTA we're not currently paying federal taxes. For this reason I point you to our pre-tax operating income of 263 million as a good proxy for cash flow, which we define using the steady state discretionary metric, which was 280 million this quarter. Finally, I wanted to point out that average diluted shares declined in the quarter to 82 million due to the stock repurchase. But bear in mind this number reflects the timing of the transaction. You should use an average diluted share count of 78 million as a starting point for the fourth quarter. Now, let's turn to Slide 7 and talk about tangible book value, which we regard as an important measure of our progress in creating shareholder value. I hope you'll agree that we've had excellent growth and TBV this year. At quarter end TBV per share was $41.56, which was up 73% year-over-year. The chart on the right provides you the walk from second quarter to third and as you can see, growth was driven primarily by strong net income. In addition, stock repurchase added a net $0.72 a share and this was a sizable transaction which we took advantage of due to the favorable price. But we did so in the context of our commitment to a strong balance sheet. And as I'll comment on in a minute, despite the repurchase, our capital ratios actually increased during the quarter. Looking ahead, as we make progress towards our strategic goals, we expect to generate significant growth and TBV per share. To start with, return on equity in the range of 12% to 20% will grow retained earnings and to the extent that interest rates rise faster than expected, we stand to benefit from positive MSR marks. Of course, as we've previously shared with you we also evaluate monetization options for the auction exchange, which we think is certainly the most valuable of all the Xome business units. And finally, as a reminder, if the Biden administration succeeds in raising the corporate tax rate to 26.5% that would increase our TBV by another $3 per share. So let's turn to Slide 8 to discuss the valuation of our MSR. During the quarter swap rates increased by nine basis points, while mortgage rates rose at quarter end after dipping earlier in the quarter. Based on market participant assumptions, we decreased the lifetime CPR assumption for our own portfolio from 13.6% to 12.9%, which resulted in a positive $153 million mark. Now, that brought the value of our MSR up by six basis points to 121 basis points of UPB. By the way, this mark is a good reminder of the power of our balanced business model. If rates continue rising, of course, that will put additional pressure on originations for the entire industry. But we'd expect to benefit from additional markups to the MSR as well as stronger servicing margins. That's not to say that our earnings will be the same in every scenario. But growth in TBV per share should be more consistent for us than for many of our peers. The chart on the right gives you a sense of the opportunity in our customer base for rate and term refinances. The number of customers who could save $100 to $200 a month by refinancing was roughly stable quarter-over-quarter. Further, we estimate another 800,000 additional customers to benefit from a cash out refinance. Under Fannie Freddie and Ginnie guidelines, these customers have over 150 billion in equity, available for cash out refinancing. So the bottom line is we have plenty of customers out there we can help. Now, let's turn to Slide 9 and talk about our origination segment which produced strong results with pre-tax operating income of 28% sequentially to 273 million. As I mentioned, this included $20 million in onetime revenues from the adverse market fee removal. So I'd call this a very strong quarter with normalized income of 253 million. Funded volume was 19. 9 billion, and our locks grew by 9% sequentially to 20.1 billion. Excluding the adverse fee benefit, the margin compressed by eight basis points to 127. Now you'll notice from the chart in the lower right that we're still above the historical range of 94 basis points, which we earned over the five years prior to the pandemic. Slide 10 gives you a dashboard view of our key metrics for the origination segment. A corresponding channel as we discussed previously provides us with our primary exposure to the purchase market. As you can see from the chart in the upper left, our purchase share increased to 58% this quarter, outpacing MBA projections for the industry of 45%. In terms of DTC, we're doing extremely well with cash outs, which as you can see in the chart in the lower left increased from 30% to 40% of funded volumes. Now, let's talk about gain on sale revenues. As we guided you to expect last quarter, DTC revenue margins compressed during the quarter, but at a relatively slow rate where corresponded margin stabilized. However, with the recent uptick in mortgage rates, we're experiencing another burst of extreme pricing pressure, which is impacting both correspondent and DTC. As Jay mentioned, we're at a point of transition, and we're projecting further margin pressure in the fourth quarter as we move closer to the historic average. Turning to the final chart in the lower right, you'll notice that the refinance recapture dropped from 42% to 40%. Honestly, as competition intensifies, we were a little bit slow to react and this may weigh on the recapture rate for the fourth quarter as well. The 60% refinance recapture target that Jay shared is a very important strategic goal. Our first priority is driving down costs, both through automation and where necessary by rationalizing capacity, so that we can meet the current level of pricing in the market. And we recently took steps to right size our infrastructure and I guide you to expect some charges next quarter in the range of 5 million to 10 million related to corporate actions. For the fourth quarter, we're projecting originations segment EBT of 150 million to 175 million, based on fundings of 16 billion to 20 billion. Now let's shift to the servicing segment and we'll start on Slide 11 and talk about portfolio growth. This quarter, the servicing portfolio increased 2% to 668 billion. As Jay commented, this was a slower pace than last quarter. But that was mostly a function of timing. As we've been expecting for several months now, the bulk market is starting to present us with more sizable opportunities. During the quarter, we closed on 22 billion in acquisitions, which was up 31% from the second quarter level, but our pipeline is even stronger with 32 billion in UPB scheduled to close after quarter end. As we've been forecasting, pricing pressure is putting pressure on originators cash flow, which is causing them to sell on the sores more in line with normal practice. Subservicing volumes were down slightly in the quarter. Some of our clients enjoyed strong growth in the prior quarter. But you should also understand that for some of our clients, their portfolios are in runoff mode, which is what you saw this quarter. CPR is improved slightly, but at 22% it's still running in almost double the pace we'd expect in a normal environment. Given the current interest rate levels we're expecting CPRs remain elevated in the fourth quarter as well. And based on the forward curve, we're planning for an environment in 2022, with CPR still in the high teens, which would imply limited servicing margins, but improving prospects for portfolio growth. Now let's turn to Slide 12 and talk more about margins. Pre-tax operating income for the servicing segment was 44 million. Thanks to strong EBO revenues of 131 million. Amortization remained elevated at 240 million in the quarter due to the high CPR speeds I just mentioned. Now, let me comment on amortization. What we're showing you here is total amortization, which you can estimate by multiplying the run off rate in the quarter by the carrying value of the MSR. Historically, we've talked about amortization and servicing margins on a cost basis. Starting today, and in the spirit of keeping things simple, we're going to drop the cost basis and just talk total amortization. So using total amortization, we characterize the servicing margin in the third quarter as 2.7 basis points. Now looking ahead into the fourth quarter EBO revenues should continue to decline to roughly $60 million. And even with a slight reduction and CPRs amortization will remain a headwind and as a result, we're currently projecting our servicing segment EBT to be approximately $10 million in the fourth quarter. Now, let me comment on the longer term. As we make progress towards our trillion dollar goal, we'd expect the servicing margin net of total amortization to eventually rise to about five basis points. Now, that level of profitability would require higher interest rates, of course, which would help us with amortization and custodial deposit income. Additionally, to reach that level we will lead to fully leverage the technology investments we've already made. For example, you've seen how our investments in automating claims processing helped us rollout digital forbearance tools, and as in the slide forbearance activity is now dropping to much lower levels, so we shouldn't have an opportunity to reallocate headcount to other functions. As another example, I'd share that we're in the final phases of deploying the next generation phone system that incorporates AI and omnichannel capabilities. This system is going to allow us to provide more efficient and more consistent service for our customers while still lowering our operating costs. Now, if you turn to Slide 13, I'll give you an update on the auction exchange, which is the last remaining business at Xome. While it's still too early to look for evidence, we're starting to build inventory again, as clients look to the resumption of foreclosure sales next year. As of quarter end Xome had nearly 15,000 units in inventory, which was up 700 units quarter-over-quarter. Now, I don't want you to think we're sitting by idly waiting for words. We've been working on a series of projects designed to take the exchange to the next level of performance. These include simple sensible steps like migrating the infrastructure to the cloud, and completing a comprehensive redesign of our website. These investments will be fully implemented by the second quarter, which will position Xome to gain additional market share at the same time that the foreclosure market is ramping back up. Now just anticipate the question we're still projecting approximately 15 million in EBT next year, which we backend loaded, but we expect EBT to rise to potentially as high as 150 million in 2023. Alright, I'll briefly touch on liquidity on Slide 14. As you can see, advances ended the quarter at 923 million, up 5% quarter-over-quarter. Now bear in mind, we typically see a seasonal uptick in fourth quarter through the tax payments, but that's not really an issue given 1.2 billion in committed unused capacity. Working capital was relatively neutral this quarter with the largest cash use being the haircut on accelerated buyouts, which we'll recover as soon as these loans are redelivered. You'll notice we increased our borrowings on our MSR lines slightly to 305 million. This reflects the fact that we expanded capacity on these lines. And it's our practice to draw the minimum amount necessary to avoid fees. You may see us use these lines to manage working capital fluctuations, including MSR acquisitions. But if we see significant growth opportunities in the marketplace, our preferred strategy would be to fund them with new issuance of senior notes. Finally, as a reminder, we still have a six year liquidity runway with no maturities until 2027. Now I'm going to wrap up my comments on Slide 15 by talking about capital and leverage. You've heard both Jay and I pound home the importance of a strong balance sheet as a pillar of our strategic thinking. And as you know, we're managing to a ratio of tangible net worth to total assets as a key high level target. This quarter, we're pleased to report, the ratio increased from 13.8% to 14.5%. As you can see, the impact of our stock repurchase was more than absorbed by strong profits, the markup in the MSR and the overall lower level of assets. We expect the sale of our reverse portfolio to close in December, which will drive this ratio up to 17.5%. Furthermore, if you took out the EBOs, which are government guaranteed assets, which are consolidated on the balance sheet, for accounting reasons, but which are in the process of rapidly running off as we buy out and redeliver loans, then you'd see a ratio above 20%. We've come a long way from the WMIH merger in 2018. As we make progress towards our strategic goals, we expect at the same time to keep strengthening our balance sheet. We're very pleased to see S&P recognize our progress with an upgrade in the quarter to B plus. And I'd comment that we see ourselves on the path to eventually earning a solid double B rating. So with that, I'll turn the call back over to Ken for Q&A.
Ken Posner: Thanks, Chris. I'll now ask Sarah to please start the Q&A session.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Kevin Barker with Piper Sandler. Your line is now open.
Kevin Barker: Thank you very much. First off, thank you for simplifying the amortization. I think that was something that was long looked at as causing some difficulty in analyzing the results. So I'm glad to see that change. In regards to Xome and some of your comments there. Thank you for the guidance for pre-tax income in 2022 of 150 million. Seems like it's a little bit higher than what you were expecting in previous calls of roughly 120 to 130. Is there anything in particular that's causing that earnings trajectory to move higher due to either your initiatives or something in the market that's driving potential income higher in '23?
Chris Marshall: It really isn't Kevin, it's really a function of we were being pretty conservative previous calls. You saw some runoff initially. If you went back to the beginning of the year, you saw some runoff due to the way the CWCOT program works. It wasn't until we started seeing more order flow come in, we feel pretty bullish about how that's going to continue to play out, we expect those inventories to rebound to where they were. So that's number one. Number two, we feel a little bit better about the timelines, we still have a pretty conservative view of how quickly the market will start to unfreeze. So things could move a little bit faster. But in terms of the 150, I think we have spent a lot of time analyzing the inventory, our pull through rates, the actual loans in the inventory, our success in selling them, the margin on those particular loans.
Jay Bray: And I would only add, Chris to that we've had some recent wins from customer standpoint that it made a difference in what we think the pipeline is going to look like. So that's the only other thing I would add to that.
Chris Marshall: A good thing as we see that higher level, while there will be some built up inventory from the pandemic that will cause a little bit of bubble, we see that 150 that kind of revenue number continuing out and into the following year. So we feel pretty good about that.
Kevin Barker: So just to clarify 150 pre-tax income or 150 of revenue?
Jay Bray: Pre-tax income.
Chris Marshall: Pre-tax income, sorry. And then with regard to simplification, we've got to give credit where credit's due, there was a - I can't remember who it was. But there was a really persistent, brilliant analyst that kept asking us a question about that, so thought it was about time we did that.
Kevin Barker: Yeah, many years in the making. So the Xome business, how much do you think that's worth, because it's not embedded in your book value, there's no capital behind or a very little needed to operate that business. And you mentioned that tangible book value is a key way you value or look at how you analyze your performance. How would you characterize the value of Xome there?
Jay Bray: We don't want to - we have not started a process and we're not going to for a while. We really are going to wait to see how the business begins to flow and see - we have some conservative views right now. And we'd like to have more accurate views of what that revenue is going to be. So we're not going to put a price out there. I think what we're saying is just and it's very clear, this is certainly and by far the most profitable part of Xome. So originally what we said, the entire unit was worth. I think there was maybe a little bit of healthy skepticism about that. But clearly, we undershot what the total value is going to be. And we're not going to put a number out there until we feel really comfortable that we can meet or beat it.
Chris Marshall: And I think, Kevin, as we've talked about it over the years, right, I think the - fundamentally what's changed with the exchange business is it's now 90% ish third party business, right, as opposed to being a - it was more Mr. Cooper business. And so I think that changes the value. I think the number of clients that we've added changes the value.
Jay Bray: I agree with Chris, it's by far the most value. I mean, even if you look back historically, the earnings of Xome, the lion's share their earnings came from the exchange business, so it is the most valuable piece.
Kevin Barker: Got it, but in your opinion, it's - the sum of the parts is probably a better way to value the company just given the capitalization or tangible book value will be there to support the originator and servicing segments, whereas you don't really need as much equity to hold - to operate the exchange business. Is that right?
Chris Marshall: Yeah, the minimus.
Jay Bray: Yeah, exactly.
Kevin Barker: Okay. All right. Thanks for taking my questions. I'll get back in the queue.
Chris Marshall: Thank you.
Operator: Our next question comes from the line of Henry J. Coffey, Jr. with Wedbush. Your line is now open.
Henry Coffey: Yes. Good morning, everyone. I think you may have answered my question already. But are there buyers out there that are willing to look at the exchange business the way you are in terms of potential earnings, who would then make an early bid? Or do you think we're going to have to wait till 2023 or 2024 before someone really steps in?
Chris Marshall: There's certainly been outbound interest. And we've had some conversations with folks, but -
Jay Bray: Inbound.
Chris Marshall: Inbound interest excuse me. I'm not quite sure. I think as we get closer to revenue actually getting turned on, there's still some question about certain courts in certain jurisdictions on how quickly they'll open up, will there be some states that may want to extend the moratorium just within their state. So I think each of those things, as they get clarified, is going to prompt more people to firm up their interest. There's no question, there's interest in the business, there's a lot of interest in the business or people going on a fairly regular cadence. And those people are asking for information, getting educated on the business, and wanting to sort of keep pace. But saying anything beyond that is speculating.
Henry Coffey: So one of the real hurdle hurdles to monetizing value is really waiting for this whole foreclosure state reg situation to kind of work its way through for some real clarity. I mean, we've talked to people who have started doing foreclosures here in Tennessee, and it's as adversarial, as one would expect. It's not a happy - somebody lived in a house for free for a year, two years, they're not sort of thankful. It's like it was back in 2008, 2010. It's, it's been kind of ugly. So there's a lot to be clarified, here is what you're saying?
Chris Marshall: I think so. But I think it's actually - I think the pace of clarification has been actually much faster than we expected. So the big questions are getting answered. Local questions that may not continue on that pace. But right now, I think by the time we get into maybe the end of the first quarter, I think we're going to have a pretty good picture on what the remainder of the year is. Now, we're saying that the revenue is backend loaded that we may have - we may see more of it earlier in the year. But I'd rather under promise and over deliver on that.
Jay Bray: Yeah, I mean, to your point, Henry, we're already seeing properties go through the pipeline, right, the vacant properties, et cetera. And so the wheels are starting to turn and we're cautiously optimistic. As the courts open back up, you'll start to see significant volume go through the platform. But the good news is it's a - I mean, the most of this product is the CWCOT product. It's a process that FHA mandates and so, it's coming, it's going to happen, and it's just a question to - back to Chris's point on how quickly the rest of the courts get opened. But I think, look, by the end of '22 fourth quarter '22, I think we'll have tremendous clarity on what's going on and so which will provide clarity for '23.
Henry Coffey: I think if I'm understanding the situation correctly, none of this product is a byproduct of your own foreclosures. It's really Fannie and Freddie and others that now own the assets turning to you for sale. So you're not in a situation where you're foreclosing and selling your own properties. You're getting third party properties to sell. Is that -
Chris Marshall: That's correct. The majority of it obviously is FHA. Not Fannie, Freddie, so the majority is FHA, but it is - we have a small PLS portfolio, as you recall that is in very minimal wind down moon. And so that's a small piece of it, but the majority is government FHA predominantly product that is being sold for third parties.
Jay Bray: I can just make one more comment with regard to the contentious nature of foreclosure. Obviously, it's a political issue. Nobody wants to see people foreclosed on. But the government has put so many programs, so many incredibly borrower friendly programs in place, that when you - we look at how successful we're being resolving customers issues. I mean, it's remarkable. So there is a certain amount of inventory though, where those foreclosures are inevitable. And to the extent they're inevitable, I think, at the end of the day, the political argument is, we might as well go through them, get those homes back out into the market, there's a shortage of homes, especially for low income and first time homebuyers. And the product that we have, is going to replenish some of the - the shortage that's out there. So while it is contentious - I don't think it's the same as 2008, just given the breadth and friendliness of the resolution programs that the government's put in place. So I understand your point. But I do think it's different.
Henry Coffey: I was going to ask that question sort of next, what is the whole process of moving people from forbearance into performing mortgage holders? How is that process going? And how is that affecting your servicing returns? And how much of that are you actually seeing right now?
Jay Bray: I mean, I think it's going exceptionally well. I mean, if you look at kind of what we have left, from a forbearance standpoint, it's really a small number Henry from where we initially started. So I think we're down to call it 60,000 customers that are still in forbearance. At the peak, we were over 400,000. So you've seen a tremendous amount of success there. And like Chris said, I think it's a great example of the government and the industry working together, to come up with solutions. And so through our digital tools that we built early on, to the work of our modification group, where we've had a lot of automation there as well. It's gone exceptional, really exceptional. And ultimately we think there's probably somewhere in the 18% to 20% range of customers that will not be able to exit the forbearance and end up going through the foreclosure process, then we could be high or low on that. But just when we look at it, that's how we're thinking about it.
Henry Coffey: Great, thank you very much.
Operator: Our next question comes from the line of Mark DeVries with Barclays. Your line is now open.
Mark DeVries: Thank you. Now, that your tangible net worth to assets is pretty meaningfully above your target after adjusting for the sale of the reverse mortgage assets and even more, if you factor in the January purchase obligations. How tightly should we expect you to kind of manage to that target going forward? And should we expect kind of more accelerated capital deployment, whether that's buybacks or bulk acquisitions?
Chris Marshall: I think you - as we said in the past, our priority is to grow the portfolio and as you can see, with the level of purchases we made last quarter, even though it didn't show up. The 32 billion we referenced closing after the quarter end shows we've been quite busy in the bulk market. We expect that to continue all through next year. There is a lot of flow coming. It's still increasing. We're able to buy assets at really attractive prices. And so that - you should definitely expect that as our number one priority. We feel - we've been saying it's going to happen for a year and we kind of getting anxious like when is that really going to happen. But as margins have compressed originators really have started to revert back to the normal practice of selling MSR. We've got great relationships with a lot of those firms. And we think we're going to be in a great position to continue to grow the portfolio, certainly through the next four or five quarters.
Mark DeVries: Okay, got it. But then just high level, how tightly should we expect you to manage around that target? Are you going to want to maintain a buffer at all times? Are you going to be wanting to go below it? How are you thinking about that?
Chris Marshall: We said, that's a minimum target, I don't see any - I don't anticipate any thing that would cause us to go below it. If we did have to be something enormously attractive with us having a very specific plan to get above it again, in a very short period of time. But I don't think that's a - there's no scenario that we're considering today that would cause that to happen. Again, we said that was a minimum target, but we're not going to outline the target plus a buffer and just change the target. But you should assume that we're committed to that level or more.
Mark DeVries: Got it? Thank you.
Operator: Thank you. We do have a follow up question from the line of Kevin Barker with Piper Sandler. Your line is open.
Kevin Barker: Thanks. I guess in relation to the last question. How do you think about weighing buybacks here just given you're trading just above book? But you could argue book value could be much higher in the future.
Chris Marshall: Well, that's the $64,000 question. We still have some authorization to use it. It's something we talk about in every board meeting, obviously, because we do see opportunity for book value to continue to grow quite significantly next year. But right now, our number one priority is expanding the portfolio at prices we think are very attractive and the returns are quite good. So that's the priority today and I just leave it at that.
Kevin Barker: Okay. And then you mentioned a trillion dollars in servicing and efficiency initiatives you put in place. How much incremental profitability do you think you can generate just by growing the servicing portfolio to that level combined with those efficiency initiatives?
Chris Marshall: Well, it's the overall profitability and the timing of it. I think over the next couple of years, as we're - the big question is still going to be when are short rates going to grow? And what's that going to mean to our ability to earn float income? So on the servicing segment, clearly, we're not going to quote an exact number. But what we're when we say we expect overall profitability to be about five basis points with total amortization. We feel good about that. Obviously, adding more scale to a scalable platform should be more profitable than what we have today. The efficiencies, while there are efficiencies that we're continuing to invest in and servicing, I don't want to confuse you. But there are efficiencies, we've got to get more on the origination side, and especially as margins start to compress. We don't want that to be as we adjust prices, it's just immediately taken off the bottom line. So there are efficiencies we're investing in, in originations. We have been for the last year. And of course, we've got to rationalize resources as volumes begin to moderate a little bit. So that's where you will probably see more efficiencies. If that makes sense Kevin?
Kevin Barker: Yeah, it does. And then just on your guidance, about five basis points of potential pre-tax profitability on the servicing portfolio, so you're guiding to a trillion dollar servicing portfolio on five basis - you're implying that maybe you can reach $500 million pre-tax income in the servicing segment. Am I reading that correctly?
Chris Marshall: That's right. That'd be our goal.
Kevin Barker: Okay. Thank you very much. Appreciate it.
Operator: Our next question comes from a line of Bose George with KBW. Your line is open.
Bose George: Yes, good morning. I think you gave a number for your guidance for the origination segment. Can you just repeat that for the next quarter? And then just you talked about the competition. Can you just give us an idea of the magnitude in terms of where you're thinking on sale might go next quarter?
Jay Bray: Yeah. I'm not sure. I'll only give you a specific guidance on gain on sale because we've been wrong in the past. I expected more compression this quarter. And I certainly think we'll see more compression next quarter. And I would just not go further than that. I'm sure - what was the first part of the question?
Bose George: Did you give overall guidance again for that segment?
Chris Marshall: Yeah, EBT we said 150, probably more like 175 in the quarter, it could be more. I mean, we had better performance this quarter. But we're trying to balance recapture with rate adjustments and those things don't net out necessarily quarter-to-quarter. So we may have more margin compression in the quarter than we just had. Instead of the eight basis points, that could be 20 basis points, could be 25. So 150, 175 ish range, if you assume normal seasonality returning, which we haven't really seen in the last couple of years, but I think we're just planning internally for more of our teammates to take a breather at the end of the year around the holidays. So all those factored in. I think that's a range that's a reasonable expectation.
Bose George: Okay, great. That's helpful. Thanks. And then actually switching to the MSR acquisitions. The OCC has sanctioned LAR [ph]. And so I guess they got to be out of the market for a while. I mean, do you think that sort of changes the landscape, at least still they're back in?
Chris Marshall: I think that's going to free up a lot of opportunity. And I think most people in the industry Think of us as the sub servicer of choice. We certainly have the broadest set of services we can offer to people and that's - nobody questions that. I think our performance has been stellar. So we certainly see opportunity there.
Jay Bray: And I think was maybe this is where it could accelerate sales as well. I mean, you might, folks that were intending to sell assets anyway, it might increase the velocity of that. And that could result in even more product coming to market. But I do think to Chris's point, there'll be opportunities on the subservicing side for sure. And there could be more assets come into the market.
Bose George: Okay, great. Yeah. I mean, yeah, that's kind of how we were thinking about it as increased opportunity for the competitors like you guys. So that's all I have. Thanks very much.
Operator: Thank you. Our next question comes from a line of David Nierenberg with Nierenberg. Investments. Your line is now open.
David Nierenberg: Nice quarter, guys. Thank you.
Jay Bray: Thank you.
David Nierenberg: My question has mostly been answered by your follow up to Kevin Barker, when you said that, of course, five basis points on a trillion is 500 million. When you add to that, the possibility that as your recapture rate might grow to 60% on your originations, you could earn a couple 100 million, maybe more on that side of the business too. As you continue paring away your share count, I can dream about nine or 10 bucks per share of pre-tax and untaxed income. Nice picture. One has to ask, over time, as competitors stumble and you become a more regular earnings machine, what kind of multiple you might deserve? You don't have to answer that question. But it's a very exciting prospect. And I'm really happy to be a shareholder.
Jay Bray: Thank you, David. It's funny, I had that same dream last night.
Chris Marshall: Thank you, David.
Operator: Thank you. There are no further questions. I will now turn the call back to Jay Bray for closing remarks.
Jay Bray: Thanks, everybody. We appreciate you participating and look forward to continue to chat. Have a great day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.